Operator: Greetings. Welcome to the Inuvo Fourth Quarter and Year-End 2023 Conference Call. At this time, all lines are in listen-only mode. [Operator Instructions]. This call is being recorded on Thursday, February 29, 2024. I would now like to turn the conference over to Alexandra Schilt. Please go ahead.
Alexandra Schilt: Thank you, operator. And good afternoon. I'd like to thank everyone for joining us today for the Inuvo fourth quarter and full-year 2023 shareholder update call. Today, Inuvo's Chief Executive Officer, Richard Howe, and Chief Financial Officer, Wally Ruiz, will be your presenters on the call. We would also like to remind our shareholders that we plan to file our 10-K with the Securities and Exchange Commission this afternoon. Before we begin, I'm going to review the company's Safe Harbor statement. The statements in this conference call that are not descriptions of historical facts are forward-looking statements relating to future events, and as such, all forward-looking statements are made pursuant to the Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties and actual results may differ materially. When used in this call, the words anticipate, could, enable, estimate, intend, expect, believe, potential, will, should, project and similar expressions as they relate to Inuvo, Inc. are such forward-looking statements. Investors are cautioned that all forward-looking statements involve risks and uncertainties, which may cause actual results to differ from those anticipated by Inuvo at this time. In addition, other risks are more fully described in Inuvo's public filings with the US Securities and Exchange Commission, which can be reviewed at www.sec.gov. The company makes no commitment to disclose any revisions to forward-looking statements or any facts, events or circumstances after the date hereof that bear upon forward-looking statements. In addition, today's discussion will include references to non-GAAP measures. The company believes that such information provides an additional measurement and consists of historical comparison of its performance. A reconciliation of non-GAAP measures to the most directly comparable GAAP measure is available in today's news release on our website. With that, I'll now turn the call over to CEO, Richard Howe. Please go ahead.
Richard Howe: Thank you, Ally. And thanks, everyone, for joining us today. We are pleased to report that, for the quarter ended December 31, 2023, we delivered a strong 21% year-over-year quarterly growth with $20.8 million revenue. For the year, while revenue was down 2% overall, it was largely a consequence of a weaker-than-expected first quarter. The real story, however, was how well the company performed in the second half of the year where revenue was up 32% year-over-year and, of course, in Q3, the company recorded its highest quarterly revenue ever at $24.6 million, a run rate at which we have stated many times in the past that, if maintained, we would expect to get us to free cash flow positive. It may be interesting to also note that since the COVID low point in the second quarter of 2020, we've had a 7.5% compounded quarterly growth rate through the end of the fourth quarter of 2023. This trajectory and several positive client, industry and product announcements and advancements gives us confidence for the 2024 year. Wally will share more details about our 2023 financial results shortly. What I'd like to do is spend my time bringing you up to speed on our industry, our products and our clients. Let's begin with our industry. We believe the plumbing of the internet is literally being reimagined before our eyes. This change is accelerating and it's being driven both by legislative and technological pressure, resulting from the use of an individual's identity and data for ad targeting. The reason this is monumental is because the very foundation of digital advertising spend worldwide that funds most activity on the internet, over $600 billion annually, is having to be redesigned because of this change. I'd like to put this in perspective. Apple constitutes roughly 50% of all mobile devices in the United States. And because Apple has blocked user tracking, those devices, for the most part, are going untargeted across the open web. Apple has been the single biggest catalyst behind this reshaping of the internet in favor of ad targeting systems that do not use the consumers' identity and data. There is no turning back for iOS devices. And if anything, Apple continues to implement various browser technologies specifically designed to prevent user tracking. The challenge is that there are hundreds of companies supporting this industry whose businesses and technology models are dependent on these identity-based methods. Inuvo's technology does not depend on these approaches. And consequently, we can identify suitable audiences, target those audiences and predictably measure the effectiveness of those audiences across iOS or any other device. Generally, the incumbents are lobbying hard to keep the existing approach alive through engineering that uses less effective workarounds that were not originally designed to track people. A host of other companies are scrambling to go back to building and using contextually-based technologies that are not dependent on using a person's identity. Neither approach is likely to produce acceptable results for advertisers. Google, which represents 50% of the overall US browser market share, finally jumped into the mix this year, and has begun phasing out user tracking via the third-party cookie, which they suggest they will complete by December of this year. Inuvo was built for this moment in time, starting nearly seven years ago, when we began making investments in this technology. We are the only company I am aware of that has implemented proprietary large language generative artificial intelligence in a manner that solves the identity targeting problem. And in head-to-head testing, our solution has outperformed other technologies we've come up against competitively. I cannot emphasize enough how this technology is revolutionary, and not derivative of some other company's technology and our products. It is, in a literal sense, the next evolution in open web ad targeting, in the same way Open AI, Google and Microsoft have introduced their large language based technologies as the next evolution in search. We recently signed up what could be a potentially large client specifically because our product does not rely on identity and because of the early performance results and insights we delivered. That client is now starting to scale media spend with Inuvo. We beat out to other vendors to get that business, having gone through a vetting process in 2023. As the advertising industry goes through this transformation, we expect to experience increased demand for our products and services over the next few years as advertisers begin to better understand that this new consumer privacy paradigm is here to stay and they start to experience the performance declines associated with this transformation. Inuvo saw the importance of this large language model AI branch of data science many years ago when we started developing for a future that has, well, now arrived, a decision that has provided us a significant competitive advantage, a moat of patents and first mover advantage for the advertising use case our AI was designed for. We've received more brand exposure in 2023 than any time in our history. We've had over 35 media citations since the beginning of 2023. Let's shift now to products and clients. As we have discussed previously, as a company, we have been focused on using our various technologies and assets within a mostly managed service business model. This is true across the entire business, where we now count, among our clients, some of the world's largest technology, retail and auto companies. We have sold our products and services to agencies, brands and platform clients, for whom we have placed over 11 billion ads in 2023. Going forward, we plan to disclose revenue across two client categories, agencies and brands and platforms. We've defined platforms as large consolidators of advertising demand, in effect, another access point to media budgets. Platform relationships require less investment in sales and support, while providing broad access to advertiser budgets. In 2023, the revenue split was 21% agencies and brands and 79% platforms. We had one new platform relationship and 56 new brand and agency relationships in 2023. These new clients cross over many industries. Currently, our largest agency and brand relationships are within auto and retail. We ran over 280 individual campaigns for these agencies and brands and thousands of campaigns for our platform clients in 2023. As we head into 2024, we are now able to deliver, scale and support a feature rich self-service version of the IntentKey AI, having now served numerous clients through its beta implementation phases. The best way to understand this solution is to think about it as an artificial intelligence as a service product that can be frictionlessly accessed across several of the most popular advertising campaign systems. For the open web, these are generally referred to as demand side platforms. This is a higher margin product for Inuvo. So as we scale this over the next few years, it can significantly contribute to the bottom line. We are in the process of hiring additional sales people dedicated to these self service oriented buyers. As mentioned earlier, we also had a new platform client at the end of 2023. This integration is already delivering revenue at higher margins. In this new opportunity, we leveraged existing assets from within both Bonfire and IntentKey in a new and competitively differentiated way. The client in question is a large internet company. The first four months have been encouraging, already delivering roughly $60,000 per month in revenue with only marginal additional costs. Along with the AI as a service product I described previously, this forms part of our overall 2024 bottom line improvement strategy. Our largest client, itself a platform, is scaling because of a strategic initiative that client brought to market in 2023. To meet this demand, we have been expanding digital properties, campaign automation and predictive technologies along with our advertising fraud detection capabilities. We see strong potential upside in this initiative over the next few years. And accordingly, see this as an important part of our top line strategy. One of the most significant consequences of no longer being able to track consumers is the inability to measure directly when those consumers convert. This creates a serious challenge for chief marketing officers, who therefore will no longer be able to attribute the return on their media investments across the plethora of campaigns and channels they deploy. In much the same way Inuvo saw the audience selection and targeting challenge, we also saw this one. This is why, in 2023, we incorporated into our IntentKey programmatic AI solution a just-in-time analytical and reporting capability that predicts across campaigns and channels the optimal spend levels, giving these CMOS the dashboard they need to continuously tune their marketing investments. This was a critical feature in the larger client win I described earlier. We put out a release this week discussing how this very capability can also be used to predict relative to other advertising tactics the optimal investment in Netflix advertising inventory. Traditional, deterministic media measurement technologies will no longer work in that channel. In 2023, we were the first company ever to provide online access to a large language model generative artificial intelligence that is instantly capable of creating audiences based on a contextual description of those audiences. We made this available at inuvo.com\portal. I cannot stress this enough. Every piece of audience information presented at this portal is generated by AI. This has never been done before. The commercial version of this product allows our clients to generate, action and measure audiences based on a collection of contextual information and imagery that is representative of their products, services or brands with a virtually unlimited audience curation flexibility. This is the first-of-its-kind capability within advertising possible only because of Inuvo's proprietary patented AI. Now, as it relates to the continuing investment in our AI, we are not resting on our laurels. Rather, we are continuing to expand our AI training in ways that will make it increasingly harder for competitors to catch up. Our latest research involves generating audiences specific to events about to occur and/or are currently occurring across the country. You'd have to be living under a rock to not have heard about Taylor Swift and Travis Kelce. If you're a brand that Kelce endorses, you have both risk and reward associated with this kind of global attention. Imagine if you had an AI technology that already knows you're associated with these two celebrities and could immediately and anonymously generate and target an audience of those people most loyal to this ongoing story. That would be just-in-time event driven marketing in a manner that has never been possible. At this time, I would like to now turn the call over to Wally for a more detailed assessment of our financial performance within the quarter and year.
Wally Ruiz : Thank you, Rich. Good afternoon, everyone. I'll recap the financial results of our fourth quarter and full year for 2023. As Rich mentioned, Inuvo reported revenue of $20.8 million for the fourth quarter of this year 2023, and that's compared to $17.3 million for the same period last year or the prior year, the 21% increase. As Rich pointed out in his remarks, going forward, we'll be disclosing revenue in two categories, platform customers and agency and brand customers. We believe this better reflects our go-to-market activity. We have 56 new agency and brand customers and one new platform customer in 2023. The higher revenue was due to scaling of our largest platform customer. We reported $73.9 million revenue for the full year of 2023, a slight decrease as compared to $75.6 million in 2022. The decrease is due to the slower-than-expected start in 2023 in the first half of the year. 79% of the full year of 2023 revenue was from platform customers and 21% from agency and brand customers. For the year that ended in December 31, 2022, 52% of the revenue was from platforms and 48% from agencies and brands. The change in mix was the result of focusing on and scaling a program brought to market in 2023 by our largest customer and, to a lesser extent, the loss of an agency client late in 2022. Cost of revenue was $2.6 million for the fourth quarter of 2023 compared to $5.5 million for the same period last year. Cost of revenue was $10.5 million for the full year ended December 31, 2023 compared to $30.2 million for last year. The decrease in the cost of revenue for three months and the full year that ended December 31, 2023, as compared to the prior periods last year, was due to the change in revenue mix. Cost of revenue was primarily composed of payments to advertising exchanges that provide access to digital inventory where we serve advertisements. Gross profit improved in the fourth quarter of 2023 where it was $18.2 million compared to $11.7 million for the same period last year. The gross profit margin for the fourth quarter of 2023 increased to 87.3% compared to 68% last year. Gross profit for the full year ended December 31, 2023 increased to $63.4 million compared to $45.4 million last year. The gross profit margin for the full year that ended December 31, 2023 was 85.8% compared to 60% last year. Again, as I as I mentioned, the higher gross margin in the current year as compared to the prior year is due primarily to the change in revenue mix, where a greater percentage of the revenue this year was from platforms, which typically has a higher gross margin. Operating expenses for the fourth year [sic] [quarter] of 2023 totaled $20.6 million compared to $15.7 million for the same period last year. Operating expenses for the full year ended December 31, 2023 totaled $73.8 million compared to $58 million. In 2023, we invested in our go-to-market teams and marketing programs designed to increase our market exposure. Marketing costs were $15.2 million in the fourth quarter of 2023 compared to $10.1 million in the same quarter last year. Marketing costs increased primarily as a result of traffic acquisition or media costs associated with campaigns. Marketing costs were $52 million in the full year 2023 compared to $36.9 million last year. Compensation expense for the fourth quarter of 2023 was $3.6 million compared to $2.9 million in the same quarter of the prior year. Compensation expense was higher in 2023 due primarily to higher salary, commissions and incentive expenses. For the full year of 2023, compensation expense was $13.8 million compared to $12.5 million in 2022. Our total employment of full and part time was 93 at December 31, 2023 compared to 86 at the same time in 2022. In 2023, we added to our go-to-market sales and support team and to their commission and incentive programs. General and administrative expense for the fourth quarter of 2023 was $1.8 million compared to $2.7 million in the prior year, a decrease of 32%. General and administrative costs were lower in 2023 compared to the same quarter in 2022, primarily due to a decrease in the reserve for doubtful accounts and professional fees. General and administrative expense was $8 million for the full year 2023 compared to $8.6 million in the prior year, a decrease of 6.7% on a full year basis. Net financing income was approximately $8,000 in the fourth quarter of 2023 compared to an expense of approximately $10,000 in the same quarter last year. Net financing expense was approximately $30,000 for the full year 2023 compared to $21,000 last year. Turning to other income and expense, we reported an income of approximately $15,000 for the full year 2023 compared to an expense of approximately $436,000 for last year in 2022. Last year's expense was associated with net realized and unrealized losses on trading securities. The net loss improved in the fourth quarter of 2023 where it was $2.4 million or $0.02 per basic and diluted share as compared to a net loss of $4 million or $0.03 per basic and diluted share for the same quarter last year. Net loss of the full year also improved at $10.4 million or $0.08 per basic share for the year ended December 31, 2023 compared to a $13.1 million net loss or $0.11 per share in the prior year. Adjusted EBITDA loss improved in the fourth quarter of 2023. It was $1.2 million, and that compared to a loss of $1.8 million in the fourth quarter of last year. The adjusted EBITDA loss for the full year ended December 31, 2023 was $5.3 million compared to a loss of $5 million last year. The company had a positive free cash flow from May through September of 2023. And for the full year, the cash flow used had improved by $3 million over the prior year 2022. On December 31, 2023, we had cash and cash equivalents of $4.4 million and a net working capital of $211,000. In addition, we maintained a $5 million working capital line of credit, which had no outstanding balance. We have a simple capital structure, with 138 million common shares outstanding, 7 million employee restricted stock units outstanding and 108,000 out-of-the-money warrants outstanding. With that, I'll turn the call back over to Rich for closing remarks.
Richard Howe : Thanks, Wally. We had a strong year-over-year fourth quarter growth of 21% and a second half year-over-year growth of 32%, which provides confidence that, as we head into 2024, we have the momentum required to continue growing. As we have mentioned in previous quarters, Inuvo's financial metrics begin to change at a threshold roughly of $100 million in annual revenue. At this level, gross margins are capable of absorbing much of our fixed costs and, therefore, generates positive cash flow. An example of this occurred in the third quarter of 2023 where we reported revenue of $24.6 million and we did have positive free cash flow in that quarter. We believe we have a plan to reach this threshold in 2024 and can be cashflow positive. I will now turn the call over to the operator for questions. Operator?
Operator: [Operator Instructions]. Your first question comes from Brian Kinstlinger from Alliance Global Partners.
Brian Kinstlinger: Exciting news about measuring Netflix ads. Maybe highlight the testing that's been done with beta customers, the results, and how it's helped advertisers make budget decisions? And then second, related to that, how do you plan to educate advertisers and agencies?
Richard Howe: The budget decisions is a big issue. And in fact, it's a real weakness, and has been a weakness within advertising for a long time, not that there hasn't been technologies that are available to be purchased, but not all CMOS actually use them and perhaps maybe even know that they exist. The thing about it is, when the cookie breaks and when you can't track people anymore around the internet, all of the existing technologies that have historically been used to optimize media across channels and campaigns will no longer function because there's no longer a one-to-one connection, and their technology was developed around that one-to-one connection. So, this component of our technology that we completed in 2023 and have now implemented across a number of customers, this is proving to have been a really good initiative for us. In fact, the large client win I talked about earlier was one as much for this predictive budget optimization capability as it was for the cookieless audience targeting capability. I'm sorry, what was the second question?
Brian Kinstlinger: So it sounds like you have a handful of customers, to answer the numbers questions, if I'm not mistaken, that were either beta or now customers. The other question I would have is, again, you're a small company, limited capital to deploy, how do you educate the market? How did they become aware of this part, not sure you can get anywhere else?
Richard Howe: Well, the people we have on the street, obviously, talking to prospects all the time, and that's one avenue. But you're correct on that, compared maybe to other better funded companies, we've got some fraction of the total sales force that they have. We did start investing in 2023 in marketing. And by investing, I don't mean it's a lot of money. I actually believe most of the increase in the media exposure that we've gotten in 2023 or at least some large component of it is just simply the result of the reality that the end is near. And as a result, media is starting to jump on this story more than they have in the past. We're going to continue to do that, Brian. In fact, I was just featured on a podcast recently about this. I see this accelerating for us. So, these are the best two avenues we've got, perform for our clients, make sure that we're canvassing as much to the marketplace as we can, and get the word out to increase the brand exposure for a new level.
Brian Kinstlinger: Two more questions. The first, the ad market had challenges, but I think it showed some signs also of improving, but we've got also an election year. At a high level, maybe discuss with the opportunity you have with your IntentKey and your AI, how should we think about reasonable growth rate targets in 2024? And I assume the first quarter is seasonally weak as usual.
Richard Howe: We suggested, obviously, in the script that I just wrote that we do have a plan that we believe we can execute on that could get us to the $100 million mark. It doesn't mean we will, Brian, as you well know. But I can tell you we take our planning pretty seriously. And when we say we think we can get there, it means that, with the customers we've got, with the traction we've got, with how things look just from today, we think we've got a good shot at getting there this year. So, that's the best I can give you. That's what I believe.
Brian Kinstlinger: Understood. This will be a tougher one then now. You've got this product that solves this major problem. And not to say your second half numbers aren't super, it's not to say achieving $100 million wouldn't be great either. But I guess I'd ask why isn't adoption much faster? Why aren't agencies pushing this product so much more aggressively? Or why aren't advertisers giving you increased wallet share once they see the performance? I guess, in another way, when do we hit hockey stick growth, that aha moment of what's going on?
Richard Howe: There's two primary reasons for that, for the question you're asking. And the third one's about hockey stick growth, I'll take that as the third. One is change. People don't like to change, right? Okay. It's the one thing humans avoid at all costs. So, you have to overcome the aspect of change and then the reluctance to change. As I said in the past about change, it's really helped along in a big way when there are catalysts that are forcing people to have to change. And in our case, that's a legislative catalyst, GDPR in Europe, California Consumer Privacy Act started it, but 13 other states have data and consumer privacy legislation, another 17 states, I think, have legislation in progress. The change is going to occur whether the people who are reluctant to change want it to or not. now, they may wait, which is what's happening. I think a lot of people are waiting for Google to jump in this mix and finally start eliminating the cookie. And they did that this in January and they're saying they're going to phase it out this year. So this change is now. It's happening now. And it's going to accelerate and all the people who have been waiting because they thought, oh, it's not going to happen or I'm going to use somebody else to do this, we're going to find out that it's not going to work. And that relates to the second issue with this that I answer on, which is the incumbent. As I said in my script, there are literally hundreds of companies, right? We're talking about a $600 billion worldwide industry. There are hundreds of companies that have built the entire tech stack that they have on this old way of doing it and consider that, of course, they own the majority of the market share compared to our – if we do $100 million this year. They obviously – they don't have a lot more of it. They're not in a hurry to tell their clients that they don't have a solution for this problem. And so, that causes the clients to think like, okay, well, we got it covered. All that does is it just pushes them to have to be late adopters because, as the performance starts to decline, because their incumbents didn't have a solution to this problem, or not an adequate solution to this problem, we'll start hopefully getting more demand for what we have. So that probably answers the third thing. The hockey stick for us – by the way, I should point out, I said it my notes, but we have been growing at a 7.5% quarterly compounded growth rate since Q2 2020. That's not terrible. It's way better than terrible. Okay? But, yes, I get your point on the hockey stick. And I think the next three years – one, two, three years are going to be really, really exciting years for us. Important and exciting years for us because the game is over, Brian?
Brian Kinstlinger: Actually, last question I have. I heard it right, you had 56 new agencies, I think, for the year you added and you ran…
Richard Howe: Agencies and brands.
Brian Kinstlinger: Agencies and brands. Right. And you ran 80 campaigns, I think, for those customers if I'm not mistaken. I'm not sure if I heard that right.
Richard Howe: No, we didn't disclose that. And we won't disclose how many campaigns we ran for the 56. We disclosed how many campaigns we had for the entire year. I think was 218, wasn't it?
Wally Ruiz: Yeah, 218.
Brian Kinstlinger: For the 86 new agents using brands, I would think that they've started the change, they started this year. So, it's customers you added in year one would drive substantial wallet share growth in year two and year three, is that the right way to think about it?
Richard Howe: Yeah, it's exactly how to think about it. I've said this before. So I'll say it again. We rarely lose a client, any client, unless – they almost always are – when we do lose, it's a brand in an agency because the agency we're working with lost the client. That's typically how we lose, call it, a client. Our strategy is land and expand. So, yes, when we sign up 56, even if they're small now, there's a good chance unless an agency loses the client themselves, that those will continue to expand going forward for us.
Operator: Your next question comes from Jack Vander Aarde from Maxim Group.
Jack Vander Aarde: Great to see the strong growth momentum in the back half of the year. Rich, maybe just for clarity, because I think it's material and important to point out if this is correct, but considering the large agency customer or the end customer that left in the fourth quarter of 2022, I think it was about $18 million of annual revenue? Is it correct, if you adjust for that client, back that revenue out, your 2023 full year revenue seems like it was up almost nearly 30%, which I think is important to point out if that is kind of the right way to think about it.
Richard Howe: Yes, I think it's exactly the way to look at it, Jack. In fact, I think it's another reason why we have – we feel good about that second half and why we emphasize it because we – effectively, which is what you're saying, we backfill that, and that's not an insignificant amount of revenue. Right? But we were able to plug that agency lost client. That was one of those examples, by the way, that I just said to Brian, right, of a loss. And so, yes, I think you're thinking about it the right way.
Jack Vander Aarde: Maybe just further to that point, it was kind of my feeling or sense that and I believe your guys' sense as well in previous quarters, following that event that that was an isolated kind of one-time occurrence. And just to be clear, how is your relationship with that actual agency? Are you still growing and actively working with them?
Richard Howe: Lesser.
Jack Vander Aarde: Lesser, okay. You signed 56 new agencies brands and one platform customer in 2023. Given your comments about the strong outlook and pipeline, just hoping you can expand on that a little bit further. So the 56 agency brands, how likely are those to be repeat customers in 2024? And how about expanding within those customers or with those brands and agencies?
Richard Howe: Very likely. And, yes, to the second. Very likely all to be customers in this year, 2024, and likely to expand.
Jack Vander Aarde: Just to follow up then. I caught the headcount. You've been hiring and it sounds like you continue to plan to hire more. And given your pipeline growth expectations, do you feel like you have sufficient capacity personnel today or will you to service the kind of demand and pipeline growth you're expecting? How is the demand versus kind of capacity balance today? Is it too much demand right now, which would be a good problem to have? Just any color there would be helpful.
Richard Howe: Well, whenever you grow as much as we did in the second half, you feel some strain. But I would say we're not feeling a strain in the sense that we're scared of continued growth. So, maybe that's the best way to say it. So there's clearly still utilization potential within the resources we have, although we do run about as efficient as a technology company that has the kind of technology we have. I can't remember what the number is, but I think we ran about $900,000 in revenue per employee. It's a pretty high number relative to comp. So we're efficient in that regard. If we add resources, we said this before, it will really be called client facing for the most part. We may add more engineers and data scientists around the company here and there, but it won't be a significant number relative to the client facing components, the go-to-market, just sales and account managers and campaign people.
Jack Vander Aarde: Just one more for me. And I apologize, I kind of kind of missed it, but I caught a lot of your comments. The large customer you're talking about in your prepared remarks that I think it boiled down to your competing in a bake off against two other competitors.
Richard Howe: Yeah.
Jack Vander Aarde: And then you eventually won the deal. Just how long was that kind of – from initial discussions to signing the bottom line, how long did that process – interactions kind of take? And then, any color on who those two customers, potential competitors were/was it a bigger handful of competitors originally. Just walk me through that whole kind of process and how long it took? And eventually, why you won it, I guess?
Richard Howe: Nine months is the answer to the first question. The second question, if I name these other companies – we're in this incredibly competitive environment, Jack. So if I name them, then they're going to know who it is. They may not know that they've even lost at this point. And so, I'm reluctant to do that. I will tell you that they're much bigger than we are, which means they have a lot more resources and been around a while. They're considerably bigger than we, which is a testament, quite frankly, to our technology to be able to beat out the companies we did.
Jack Vander Aarde: That's totally fair. I'm not looking for you to disclose anything that you shouldn't. I guess that's what I was really looking for is, what was the kind of caliber or size of these competitors you're going – was it kind of David versus Goliath story here? And it's kind of proof in the pudding, your technology is definitely proving itself and gaining traction. And then just one more thing, in terms of platforms, with this new segmentation, how do you expect these two segments – if you had a crystal ball and you're looking forward, how do you expect these two to ramp in terms of the revenues going forward? Are they going to be, one going to outpace the other? Are they ever going to be kind of at parity? How do you just think about the opportunity near term/long term?
Richard Howe: In the future, they should be parity. So I think, yeah, in an end state, some years down the road, I would expect the agency and brand components to continue in terms of the mix to be a bigger part of the overall mix, albeit it could surprise us because the platforms by default are bigger and they do tend to scale faster. So it's hard to predict. They're both looking really good right now, is the bottom line. We see potential in both of them. Right? In fact, like I said, we added a new platform relationship in 2023, which is also exciting for us.
Operator: Thank you. There are no further questions at this time. I'll turn it over to management for closing remarks. Please go ahead.
Richard Howe: Thank you, Sergio. And, everyone, thank you for joining us today on the call. We appreciate your continued interest in the company and we look forward to keeping you apprised of our progress on the next call.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines. Thank you.